Operator: Good morning, ladies and gentlemen, and welcome to the conference call on ENGIE first quarter financial information organized by ENGIE along with Ms. Isabelle Kocher, Chief Executive Officer of ENGIE; Ms. Judith Hartmann, Executive Vice President and Chief Financial Officer; and Mr. Paulo Almirante, Executive Vice President and Chief Operating Officer. For your information, this conference is being recorded. Thank you for holding. Ms. Kocher, I now hand over to you.
Isabelle Kocher: Good morning and thank you for being with us today. I’m very pleased to welcome you together with Judith Hartmann, our CFO; and Paulo Almirante, our COO; to present our results for the first quarter of 2019. I will start with a few key observations and an overview of the numbers, and Judith Hartmann will then provide an analysis of our results and full-year outlook. And we will then, the three of us, be happy to take your questions. Our first quarter results, which you will have seen earlier this morning, were modestly down overall. These results are in line with management’s 2019 phasing expectations, except for climate effect, which we cannot by definition anticipate. This quarter was primarily impacted by above average winter temperature in France. And excluding the negative temperature effect on our Networks and Supply businesses, our group results were approximately level with the prior year, which is in line again with our 2019 phasing expectations, based on several other factors. As expected, we had lower nuclear power production with lower availability of our Belgium nuclear units. And Client Solutions results were atypical, driven by timing effect and selected recent renewals, driving a slower start than last year. Conversely, our Thermal and Renewables activities have demonstrated strong organic momentum with promising PPA growth. For the rest of 2019, we expect our prior year comps to ease, notably in Nuclear and Client Solutions activities. And given the patterns of discounts, our underlying momentum and our ongoing operational action plans, we are confirming our previous full year 2019 guidance with growth expected to be weighted towards the second-half. To look now at our key Q1 numbers, and they will be detailed much more by Judith of course, EBITDA and COI respectively were €3.1 billion and €2 billion, both down minus 4% on an organic basis. Net debt stands at roughly €23 billion, stable versus the end of 2018. And CFFO decreased notably due to timing effects from commodity related margin calls and financial derivatives. Operating cash flow remained stable. Beyond the figures, during this quarter, we continued to execute our group strategy in accordance with our intent described at our recent Capital Markets Day. We finalized [you’ve seen] [ph] the sale of our coal generation in Thailand, and we announced the disposal of most of our European coal plants. Coal now only accounts for 4% of ENGIE’s total power generation capacity. Recently, we also announced the major acquisition of TAG in Brazil. This transaction is fully aligned with ENGIE’s strategy, supporting Brazil, which is one of our largest countries of operation, in the decarbonization of its energy mix. TAG owns and operates 47% of natural gas transmission in Brazil, with 4,500 kilometers of gas pipelines and an attractive growing portfolio of long-term capacity contracts. Moreover, ENGIE will manage the assets, with the operations and maintenance being progressively insourced over the 3 years to come. Along with our Canadian partner, Caisse de dépôt et placement du Québec, and also our Brazilian subsidiary, we acquired 90% stake in TAG, while Petrobras will retain a residual 10% stake. And given our financing structure of these acquisition and net equity ownership, we expect a net debt impact of €1.6 billion. Post closing, we will hold a separate call dedicated to this milestone with insight into TAG’s operations and also its financial impacts on ENGIE’s medium-term guidance, which does not include for now, the contribution from TAG. This move is really great. I now hand over to Judith for a detailed review of our Q1 financial performance and 2019 outlook.
Judith Hartmann: Thank you, Isabelle, and good morning, everyone. Q1 was indeed impacted by headwinds, which we expect to subside or reverse during the remainder of 2019. These were clearly led by the significant warm winter temperature effect in France. Before diving into each business line, I want to highlight a few drivers illustrating our expectation for earnings growth weighted for the second half in 2019. First on Nuclear, as you all know, we were impacted mainly in the second half of last year by unplanned outages in Belgium. As you can see on this slide, our unfavorable Q1 trend is expected to completely reverse based on current REMIT forecast availabilities. Second, regarding French temperatures, we note the potential prospect of easing prior year comps, if temperatures are closer to normal, as last year’s H2 was particularly warm. And third, on French hydro production, you will remember that 2018’s Q1 was one of the best quarters in history. So it creates a tough comparison for this year’s first quarter. Assuming average historical production, this driver should not act as a drag over the next 3 quarters. Let’s now look at our 1Q performance by business line. First, Client Solutions, results were atypical this quarter. This activity faced challenging comps as Q1 2018 was exceptionally strong, up double-digits at the time. Contract phasing, selected recent renewals and a slowdown in engineering activity all contributed to a weaker start to the year. On engineering, the situation is not new and there is an ongoing action plan. At the same time, our businesses are incurring increased development costs across Latin America, Europe and United States to lay foundations for new business constraining our short-term margins. Accordingly, our revenue and our backlog both continued to rise during the quarter. In the context of seasonally small Q1, these factors have a higher proportional impact on the smaller base of profits. Given our ongoing assessment of the Client Solutions business, we remain confident in our prospects for the rest of the year, and we expect mid- to high-single-digit COI growth for the full year 2019. We do believe that the strong underlying performance will be weighted towards the second half as prior year comparables will ease and contract raising are expected to subside by Q3, increasing order backlog and contributions from tuck-in acquisitions will deliver greater impact, we continue to raise some market dynamics through performance plans in order to continue to improve our competitiveness. And like you said revenues increased 8% in Q1 and we expect this momentum to remain favorable. We are also reiterating our midterm guidance provided at the CMD, which includes a significant contribution from the tuck-in acquisitions planned over 2018 to 2021. These should account for approximately 50% of the Client Solutions CapEx. Let’s now move to Networks, where COI was down 5% in the first quarter. This winter’s warm temperatures weighted on performance with lower volumes in gas distribution in France, and excluding the normal temperature effect in France, the business line COI would have actually risen by 2%. We also face a tough comparable in relation to positive one-offs in 2018 in Latin America notably in Mexico with a liquidated damages settlement last year that you might remember. Those headwinds were partly offset by the continuing beneficial effect of French storage regulation since April 2018. With respect to our Networks outlook for mid-single-digit COI decline in 2018 that you can see on the next page. Last year second half saw particularly warm temperatures providing an easing comparable for the remainder of 2019. French transmission and distribution volume headwinds will be partly offset by positive tariff variance. Please note that the Storengy regulation was introduced in April 2018, therefore for the remainder of the year profit outlook for Storengy will be a broadly stable compared to last year. Lastly, we expect to positive swing in international activities. In Renewables, we see sustained growth COI was up 7% in the first quarter on a gross basis. Organically, Renewables COI grew 13%, despite significantly lower hydro volumes in France, demonstrating our strong momentum in this business. Our operational progress continued with the commissioning of 900 megawatt of additional solar and wind capacity. Key projects were completed in our targeted geographies, including Umburanas in Brazil, Live Oak in the United States, and our first concentrated solar panel project, Kathu in South Africa. The offshore wind progress was demonstrated in the first quarter with two construction starts in the UK and in Belgium. And we have created an exciting joint venture with Tokyo Gas to create a financing platform for our renewable activities in Mexico illustrating our ability to implement our DBpSO model. Looking at the rest of 2019, we anticipate acceleration in our Renewables profit delivery to growth rate in the low-teens for the full year compared again to the 7% of the first quarter. This performance will be enhanced by improving hydrology and increasing solar contribution in Brazil, and more favorable comparison for French hydro in the second half. The DBpSO project sell-downs and associated booking for – of P&L profits across a range of targeted geographies are intended to take place mainly in the second half of 2019 as was the case in 2018. Let’s move to Thermal and Nuclear. Our Thermal and Nuclear businesses delivered contrasting performances in the first quarter. Thermal COI was up 6% mainly driven by growth momentum in Latin America PPA contract as well as positive spot market conditions in Chile and Peru. In addition, we benefited from dynamic management of the optionality of our European gas generation portfolio, and lower D&A due to the IFRS 5 treatment for Glow. Conversely as expected Nuclear COI was down 45% in Q1, given the unavailability of three of our Belgian reactors earlier this year. Today six out of seven reactors are up and running. On the full year outlook, we expect a growth Thermal COI reduction of approximately 20% to total completed Glow disposal partly offset by continuing PPA growth in Latin America and higher Thermal spreads. Our Nuclear negative trends will reverse very markedly in the second half, given our improving availability comparisons and higher hedge prices, and we expect 2018 losses at COI level to reduce by approximately two-thirds in 2019. We reiterate our mid-term guidance, excluding the Glow contribution which we mentioned to be negative 6% to negative 3%. We now move to Supply, the significant COI reduction of approximately 20% in Q1 was mainly driven by the negative temperature effect in France and Australia to some extent as well as continuing margin pressure in French retail. In others activities, our energy management business performed well internationally and in its renegotiation of long-term gas contracts. In addition, our latest group efficiency program Lean 2021 has begun to deliver cost savings at the corporate level. For the total year in Supply, we anticipate a slightly lower decline for the full year COI to be down in the upper-teens on the basis of assumptions of normal temperatures for the rest of the year versus a warm second half of 2018. In the Others segment, we expect slower low-teen COI growth in 2019, as energy management should normalize, while the sale of U.S. LNG activities should have a negative impact. Turning now to cash flow, CFFO was down in 1Q by €1.6 billion year-on-year, mainly due to timing effects from commodity-related margin calls and financial derivatives. Our operating cash flow remained, in fact, broadly stable. We expect group CFFO to substantially increase by year-end, notably on the back of a significant reversal of the margin calls and financial derivatives. With that, I will hand back to Isabel to conclude.
Isabelle Kocher: Thank you, Judith. So to very briefly summarize the key points, our Q1 2019 results suffered from particularly warm winter temperatures. And we’re also subject to some challenging comparables. But they were otherwise in line with our overall group’s expectations and phasing outlook for 2019. We are pleased with our organic performance delivery in Renewables and in Thermal, while trends in Nuclear and Client Solutions will reverse by yearend. Therefore, we reconfirm today our full-year guidance for 2019. And we are now happy to take your questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Aymeric Parodi of UBS. Please go ahead. Your line is open.
Aymeric Parodi: Hey, good morning, everyone. Thanks a lot for the presentation. My question is on the gas networks in Europe. At the Capital Markets Day, you said you expected consolidation. If I’m right, the [Pat-Lou] [ph] has been adopted now in France. Is there any update you can give us on the consolidation of gas in Europe? Thank you.
Isabelle Kocher: Well, we effectively spoke about that during our Capital Markets Day. And we very clearly stated that in our view it would make sense to provoke a consolidation between the players in Europe, as for as transmission networks, transportation networks are concerned. And this is still true. That will be true, because the [Pat-Lou] [ph] has been voted, not yet promulgated. But that’s true that it opens some options. And I confirm that we are absolutely open to pursue in that direction. And you will be updated if any option effectively becomes available.
Aymeric Parodi: Thank you.
Operator: We will take our next question from Vincent Ayral of JP Morgan. Please go ahead. Your line is open
Vincent Ayral: Good morning. So I will ask you the question on the [CFFO and Pat-Lou] [ph] it’s been done. Another question I would have is you also talked about potential partnership with a large fund on your DBpSO, [B type of model] [ph]. I think this would have been in coming months if I remember properly. Are the discussions still going on? And I was told you expect something like that. So that would be one question. The other question would be related to your Client Solutions, when you provided your guidance and were you aware of these timing effects and what is already taken into account? Thank you.
Judith Hartmann: Yes, hello, Vincent. So I think your first question was around the DBpSO. And you mentioned the activities that we mentioned around this at the Capital Markets Day. So really there are different approaches that we’re taking here. One is to have regional platforms that we have started to implement. As you know, we have one in place in – or have had one in France for quite some time. The one I mentioned earlier is related to Mexico renewables, where we have signed a joint venture with Tokyo Gas. And really what it means is our new projects are going to be able to be dropped into this. And as opposed to having a project by project basically sell-down, we now have a platform where we can drop in projects. The same – we’re working on the same in India, I would say in all of our big renewables countries. Brazil is another one I would mention. So all of that is ongoing and I feel very confident on being able to execute this as planned through the rest of the year. You had a question on the Client Solutions guidance and the 1Q impact of the results. What I would say about that is we felt confident on this turnaround, if I can say timing-wise for the rest of the year. Q1 is quite a small quarter for Client Solutions. It’s about – like you saw, it’s about €200 million. So it is really a relatively small quarter. And there are a few things that happened, that we already know that are going to reverse. There were a couple of very specific contracts in the UK and in Italy that had an impact that were renegotiated. And we already know that those two countries have signed significant contracts to offset that for the rest of the year. There is an impact on tuck-in acquisitions that are going to be much more positive at the end of the year. In fact, when I mentioned that in 1Q we have some impact from investments, those are also some, you may call it investments, you may call it startup losses, that investments that we’re doing. Examples are Chile, examples are e-mobility that are also going to start to have more positive contributions for the rest of the year. And then the third aspect that I’ve mentioned is really the one that is a structural pressure if I may call it that way is the engineering activity, where in line with what we have said in the past, with the decentralization of the energy world you have less very large projects. And that means not just for us, but in general for the energy sector, which means we have very less very large engineering topics. And that is a known spot that we know and that we’re addressing with action items. So we feel confident on the best estimate that I’ve mentioned on the page. And there is very clear action plans in place to get us there, to make sure that we are executing on these expectations.
Vincent Ayral: Thank you. I would do a last follow-up question on that. I mean, the result came really last minute before the conference call, so sorry if I missed something. I’ve been trying to do both at the same time. Regarding CFFO, I wanted to understand what was the order of magnitude of margin goals and financial derivatives? And how we should look at it over the coming quarters? I think you talked about a reversal by yearend. Thank you.
Judith Hartmann: Yes, indeed. So a big very big impact, very significant impact on our first quarter results on margin calls. And that’s really the bulk of the explanation. And we do believe that those are going to temper out over the rest of the years. As you know, gas prices are down and we’re in a net buyer position. So when you have a movement in the prices like we had just recently then you have basically a temporary dissymmetry, if I may call it that way, between the hedging tool and the underlying operational flow, meaning that you have the impact in Q1 on the hedging tool and then it will resolve itself over the rest of the year. That’s really the bulk, that €1.3 billion of impact. We had much smaller to much, much smaller extent impacts on our operating cash flow. And I would mention two things here. Of course, there is an impact on inventory with the warmer temperatures, meaning you have higher inventory, because you sell less gas. But again, that obviously is going to be worked on for the rest of the year, so not concerned there. And then there is an impact on accounts payables, where lower prices on gas had an impact. So quite frankly, we feel confident for the rest of the year. And the cash flow, it should be in line with what we had last year.
Vincent Ayral: Thank you.
Operator: [Operator Instructions] We will take our next question from Carolina Dores of Morgan Stanley. Please go ahead. Your line is open.
Carolina Dores: Hi. Hello, good morning, everyone. Thanks for taking my questions. I have three. The first one, if you can give us at least ballpark of how much of that group contributes to your 2019 earnings? Second question is, you had a favorable weather, some headwinds in services, but you also have to be expected to do some tuck-in acquisitions and you have TAG. So are you in a position to guide us of where do you think you are on the low or mid or upper range of your guidance for 2019? And my final question is, Judith you mentioned that there’s a positive effect of gas contract renegotiations in the first quarter results. Is this a release of a provision? Or does is just like better margins that therefore are going to be – are going to continue through this coming quarters?
Judith Hartmann: Okay. So, hi, Carolina, three questions from your side. On the – I’ll take the guidance one first. So we are – it’s only one quarter and it’s only one data point, obviously, we feel confident to confirm the total year guidance. And quite frankly, wouldn’t want to – would want to specify more than that. TAG contribution we should – we are hoping to close this at the end of the first half. And like Isabelle said earlier, we will do a investor call on this transaction, which we really see as very positive for our growth. If they’re – so assuming that it’s going through it mid-year, quite frankly the impact would already be there, and it would be below €50 million. And then your question was on the gas negotiations that I mentioned, those are actual negotiations and it is actually better margin that we are seeing in the first quarter, so very positive.
Carolina Dores: Okay. Thank you.
Operator: We will take our next question from Emmanuel Turpin of Société Générale. Please go ahead. Your line is open.
Emmanuel Turpin: Good morning. I’d like to focus my questions on the Client Solutions business, the performance was down in Q1, you said minus €42 million in COI. And I would love a bit more color on the explanation you provided in answer to a previous question. I didn’t quite understand what you meant by renewal of contracts in UK and in Chile. Could you explain to us what the headwind was on what solution is going to be here? And stepping back you are still guiding for mid- to high-single-digit growth in the full year. So we are starting the year €40 million down and in the full year if we look at the bottom of that mid- to high-single-digit it would add around €50 million, so all-in-all in the remaining nine months of the year. You need to make a growth of between €90 million and €100 million, let’s say. Could you explain to us maybe in broad buckets where these growth going to come from? I can think of a number of buckets, organic growth outside of cost cutting, then there is probably cost cutting contribution on scope i.e., tuck-in. Are you able to give us some – to basically feel as we some confidence about meeting that target and through these, I would say, buckets of growth? Thank you very much.
Judith Hartmann: Yes. Hello, Emmanuel. On your first question Client Solutions on what I mentioned on Q1. There was two very specific contracts that were negotiated, so again you have to – first of all you have to take it into – put it into perspective that the Q1 numbers on Client Solutions are actually relatively small, because of the seasonality of this activity, as they always are quite frankly. And so any move that I’m going to describe has proportionally a bigger impact on the variances. So there was two specific contracts, one in the UK and one in Italy that I’ve mentioned that were – that had a combined impact of close to €15 million of a mix of negotiation, lower prices and also with a couple of €1 million of upside last year in that same contract. The reason why I said, I was not concerned about that, because that’s quite frankly a normal course of business and we have in both of those countries signed other contracts that are going to create the growth that we were expecting for the rest of the year. And so that leads into your second question, which was where do we take the confidence from to get to mid- to high-single-digit growth, which you calculated to be about a €100 million that we had to catch up for the rest of the year, and that’s roughly the number that I’m looking at, which are really related to exactly the topics that you brought up, obviously organic growth I mentioned some of the contracts already signed, of course, the cost is going to continue to the cost items are being worked on North America and France are examples that I can think of. And then yes, acquisitions that had all the scope, acquisitions that have already been done. We’ll have a more significant impact in the second half. I will mention one, which is the OTTO acquisition, which was done at the end of the last year in Germany, not yet in the first quarter numbers. But there is a number of smaller acquisitions that will contribute positively, and so it is going to be a good mix of all the three levers that you’ve mentioned that are going to get us there. And needless to say like I mentioned earlier, there are very precise action plans in place to make sure that we’re actually coming through and this is very important for us, and so we have really lined up our action plans to make sure that this is coming through. A lot of it already in the bag, if I may call it that we were signed contracts and some of the acquisitions, but the cost actions we have our – the full force of the organization to make sure that we’re coming through on this.
Emmanuel Turpin: One follow-up, if I may.
Isabelle Kocher: And maybe [indiscernible] answer to highlight revenues are up, as you may be seen in the press release. Backlog is good also on plus 10%, so this is really a timing effect that leads to our Q1 numbers, and effectively these one-off, let’s say, more generally. We have an impact on which is significant, because in proportion. This has to be compared with numbers that are additionally low over the first quarter.
Emmanuel Turpin: One follow-up, if I may. You mentioned that Q1 provided a negative base effect, what about the last nine month of the year or are there any sizable – sorry, a negative contributors to COI that actually will no longer be negative in the last nine months that help the comparison? Number two, are you able to share with us as far as you can see today, how much that tuck-ins will contribute in the last nine months for that for Client Solutions?
Judith Hartmann: So on the – I assume, you’re still on Client Solutions, where the sounds fit. So yes, you will remember that last year we have [Technical Difficulty] you will remember that last year we had mentioned the one-off in Canada. That is going to help us quite frankly too was a comparison for the rest of the year, which was close to €20 million. And then on your tuck-in acquisitions question, it is roughly in the – it’s below €50 million, but not far away from that of the positive [indiscernible] in the remainder of the year. So it’s quite significant on the Client Solutions number.
Emmanuel Turpin: Thank you very much. Thank you.
Operator: We will take our next question from Sam Arie of UBS. Please go ahead. Your line is open.
Sam Arie: Hi, there. Thank you. Good morning. Thanks for the presentation as always. I just wanted to take the opportunity to ask you a broader question if you don’t mind just on your experience in the last few months in wind and solar? Your numbers look at pretty good to us this morning you’re posting, I think, plus 7% in Renewables, but that’s lost to the hydro effect and you’re signaling more action to come in the second half. I’d say, that’s in line with what we’ve seen from EDF this morning with the largest renewable pipeline ever [E.ON in energy] [ph] in the last 24 hours in the sort of 20% to 30% growth range. But on the other hand, there’s been this IEA report recently suggesting that the global renewables market was kind of flattening out a bit in 2018, and triggered a lot of newspaper articles and a bit of concern. Just to be grateful if you could share your perspective as one of the major international operators and on how you see the global, when that’s all the market now developing what you thought at the IEA report. What your expectations are for the market this year?
Isabelle Kocher: Well, you have the numbers of the quarter that so I won’t go back to that, but if you want. But more generally, so we see and that’s really obvious in the market in our view, and the fact that this market is actually a rating. We have set up a development platform that is now very good, we are – we consider, we are number two. If you compare ENGIE was other European players in terms of ability to commission every year additional capacities, and you see that we announce this 9 gigawatt of three years meaning more or less 3 per year on average. And so we became, it was not the case a few years ago, it was maybe not our strongest point, but we became a very solid player. The trends are relatively clear, and the competition on price will continue will be extremely high, we have decided as you know to focus on the most sophisticated technologies, that’s the reason why we push offshore a lot, and Judith mentioned some milestones, we went through. We push also, I would say, advanced technologies more generally we just integrated our Kathu plant in South Africa. So I believe really that for a group like ENGIE, this solution is to focus on sophisticated projects, sophisticated through technologies, as I just said, or sophisticated, because our clients are asking for more integrated offers in typically some specific profile that fit with their consumptions profile. So that’s really our effort to develop a lot of capacities, yes, but focused on the most advanced solutions. And we are able to create a lot of value, you have seen our figures, we leverage the DBpSO system in order to increase the return. And we gave a lot of details on that during our last Capital Market Day, happy to update over the next month with new cases and you will see that these DBpSO system allows us to increase significantly our margin. So we expect a positive trend, as you did explained, we expect for the full year very dynamic growth. And I believe that we had a very good start.
Sam Arie: Okay, fantastic answer. Thank you very much. I appreciate your comment.
Operator: We will take our next question from Meike Becker of Bernstein. Please go ahead. Your line is open.
Meike Becker: Good morning. Thank you very much for taking my question. One question at this point. Regarding your strategic outlook for the U.S. and Client Solutions, if you don’t mind could you elaborate of how attractive you find that market, and what your ambitions to grow in Client Solutions in the U.S.?
Isabelle Kocher: Well, thank you for your question. Very, very quickly, I would say, this is a huge market for Client Solutions. As we said during our Capital Market Day, we intend to focus on integrated solutions. For companies in particular that are under pressure, if I say that in a negative way, to demonstrate that they take care about climate change. A lot of U.S. group started ambitious projects in this domain, and the energy saving component is a key ingredient for them. So yes, we believe that this is a very promising market, by the way we started. We started to build in this country relatively interesting business, not yet of the scale of the country. But they really intend to continue to reinforce it.
Meike Becker: Thank you.
Operator: [Operator Instructions] We will take our next question from Vincent Ayral of JP Morgan. Please go ahead. Your line is open.
Vincent Ayral: Good morning, again. Doing some follow-up actually on the Client Solutions, we’ve been talking about the state. There have been some articles about [Mcore] [ph]. That leads to one question. Obviously, you will not comment on whether you’re looking at this one or not. However, what I’m more interested in the energy services and there is as well a part of the business, which is related to construction. We have seen for example, let’s say, that when you delegate that to third-party for buildings and everything, you’re still at risk. How do you see that? How do you consider these building into construction as a part of the overall energy service? Is it really a strategic or is it something you want to be less exposed to? Do you have to do it in order to gain access to certain markets and contracts? And so that would be the question regarding energy services. And that would potentially provide us some color on [Mcore] [ph]. And finally, as well, and now going back to Suez, you have a partnership on developing solar on there, on the different real estate assets and landfills. Now, one question is, do you see further integration going forward of the different services could you potentially offer waste and water services? How do you see the convergence going? Thank you.
Isabelle Kocher: Thank you. Regarding Client Solutions, if you look at France, for example, we effectively have like part of our activities in that field; that is installation. And this is important to ours. This important, because when you sign a big long-term contract with a company to help support the company to reuse its energy consumption, you need people to replace the installations. You need to replace the cooling systems, heating systems, lightning systems. And you cannot rely fully on outsourcing. We outsource part of that, but we need to muster at least partly the way we operate. By the way, this is a good business. And I insist on the information I shared with you a few minutes ago, the backlog of our Client Solutions, more generally, is still very good. So the fundamental elements of this activity are very strong. It has to be managed very efficient way, as this is not new. But we are used to do so. And this is a very dynamic business. And I would say exactly the same for the U.S. Regarding Suez, nothing new. You asked the question almost every quarter. So we say that we intend to keep our stake. We effectively want to develop our partnerships concretely on the field. We have several tenders in progress, where we partnered. And, well, we have – effectively we believe a lot of things to do together. And in particular, since the move of Suez towards industrial clients, so this is something we work together with Suez team. And we’ll, of course, update progressively.
Vincent Ayral: Thank you.
Operator: [Operator Instructions] Our next question comes from Emmanuel Turpin, Société Générale. Please go ahead. The line is open.
Emmanuel Turpin: Hello again, a couple of follow-ups on details. First of all, I am very sorry, I don’t know if you already gave these indications. I was wondering about the contribution of the DBpSO to COI in Q1. Can we have the contribution, please, or at least whether it was brought down versus Q1 2018? And second question on Slide 12, where you show a positive contribution from the Thermal businesses, plus €24 million. In the comments, you do mention that there is a positive impact from D&A related to Glow. Could we have this positive impact on D&A for Glow, please? On last, stepping back on your guidance, the parameters driving this guidance are detailed in your footnotes. We already know about the negative weather impact in Q1, on what you expect for the remaining – or what normalization could do in the remainder of the year. I was wondering about the impact from FX on commodity prices. Have you done the size of marking to market, so to speak; what the current FX on prevailing commodity prices would do compared to your budget? That would be interesting at this stage of the year. Thank you.
Judith Hartmann: Okay, Emmanuel, thank you for those questions. So, on the DBpSO margin actually it is more oriented towards the end of the year. So the COI impact in Q1 was actually zero. And I’d like to say it, because we have signed just now one of the platforms, because we’re working on the others. I do feel confident that the number that we projected for the year is going to come through. You had a question on the D&A of Glow impact, the impact of the reduction of D&A on Glow. It’s about €30-million-ish. And then, yes, of course, we are looking at the negative – or at the negative or positive for that matter, impact of FX in commodity prices. And basically, there is about – when I look at the mark-to-market for the total year, it is about €90 million positive on foreign exchange and €100 million to €120 million negative on price. So, we believe – so we’re going to obviously continue to monitor, that that’s one of the risks and opportunities for the rest of the year, but so far not that much of a significant impact for the remainder of the year. And quite frankly, even for 2020 and 2021, very similar to what I just said…
Emmanuel Turpin: Sorry, Judith, I didn’t catch what you said on FX, did you say €19 million or €90 million?
Judith Hartmann: The ones that are impacting us the most are the Brazilian real and the U.S. dollar. And so, from a FX perspective, so there’s some slight variance. But, quite frankly, it should remain with – it was in the range of what I’ve just mentioned.
Emmanuel Turpin: Sorry, did you say plus €90 million or €19 million, sorry?
Judith Hartmann: On FX, plus €90 million, 9-0.
Emmanuel Turpin: €90 million, okay, plus €90 million on FX and minus €120 million on commodities. That would be mark-to-market versus budget, so one offsets the other kind of thing.
Judith Hartmann: Yes, €90 million on foreign exchange and the prices €150-million-ish, let’s call it that way.
Emmanuel Turpin: €150 million, okay.
Judith Hartmann: And negative between the two, but you know not significant. And, obviously, those could still move.
Emmanuel Turpin: Okay. Sure, thank you.
Operator: Ladies and gentlemen, there are no more questions. I now hand back over to Ms. Kocher.
Isabelle Kocher: Well, thank you very much. Thank you for your time. Thank you for your questions. Have a good day.
Operator: Ladies and gentlemen, this concludes this conference call. Thank you for your participation. You may now disconnect.